Operator: Good morning, and welcome to the SQM Fourth Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Gerardo Illanes, Vice President of Finance and Investor Relations. Please go ahead.
Gerardo Illanes: Good day, everyone, and welcome to SQM's Fourth Quarter 2013 Earnings Conference Call. For your information, this conference call will be recorded and is being webcast live. You may access the webcast later on at our website, www.sqm.com. Joining me today are -- speakers are Johnson Patricio Contesse, CEO; Patricio de Solminihac, Executive Vice President and Chief Operating Officer; and Ricardo Ramos, CFO. Before we begin, let me remind you that statements in this conference concerning the company's business outlook, future economic performance, anticipated profitability, revenues, expenses or other financial items, anticipated cost synergies and product or service line growth, together with other statements that are not historical facts, are forward-looking statements as that term is defined under Federal Securities Laws. Any forward-looking statements are estimates reflecting the best judgment of SQM based on currently available information and involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. Risks, uncertainties and factors that could affect the accuracy of such forward-looking statements are defined in the public filings made with the Securities and Exchange Commission, and forward-looking statements should be considered in light of those factors. I now leave you with our CEO, Patricio Contesse, for brief comments before we move to Q&A.
Patricio G. Contesse: Good morning, and thank you for joining the SQM Fourth Quarter Earnings Conference Call. I will start with a brief introduction before we open up the lines for questions. On Tuesday evening, we posted our results for 2013. Earnings for this period reached $466.1 million, a decrease from $649.2 million reported for the same period last year. Revenues totaled $2.2 billion, a decrease of 9.3% compared to the $2.4 billion reported during 2012. These lower results of 2013 reflect the difficult conditions which surround our main business lines for the year. Generally speaking, increase volumes in the potassium chloride business line help us to partially offset lower prices seen during the year. Prices fell above 15% year-on-year. Our margins, as anticipated, were impact. Our SQM business line did very [ph] well during 2013. Volume increased, and even though prices are not directly related to the potassium chloride prices, prices fell just in light of potassium chloride market condition. We look forward to higher volumes in both business lines during 2012 -- excuse me, 2014. We are aware that there has been a lot of interest surrounding the iodine and lithium market in recent months. Following the positive trend during the past several years, we saw demand growth in both the [indiscernible] lithium and world [ph] iodine market during 2013. However, a new supply of iodine in excess of market growth has been added by existing competitors. This ultimately had a negative impact on our sales volume in this business lines during 2013 when compared to 2012. Continuing with iodine, we did see lower prices as anticipated during the first months of 2014. We will likely to continue to face challenges to assume the uncertainty related to the production and sales volume of our competitors in this market throughout the year. We are confident in our long-term position in the iodine market as the largest producer with significant cost advantages. And although volumes maybe lower in 2014, we will protect our market share in the long term. In the lithium market, we expect market growth between 8% to 10% in 2014. We continue to be the world's largest producer of lower cost produce -- but we'll assess new supplies and its potential impact on the market in the short term. In industrial chemical, we saw sales volume and revenues significantly lower than in 2012. This was in line with our expectations as solar salt sales reached approximately 70,000 metric tons during 2013 compared to 170,000 metric tons in 2012. On a positive note, we see increased interest in the market and are currently negotiating contract for 2015 and 2016. We remain confident in the long-term prospect in the solar salt market. Our capital expenditure in 2013 reached $331.7 million, which were below our estimate of $400 million. In 2014, as it was anticipated, our CapEx will be close to $150 million. During 2014, we will benefit from recent investments, specifically investment in May [ph], to increase production of the potassium-based fertilizer from the Salar De Atacama. We will keep our [indiscernible] iodine and lithium in the pipeline and we will move forward with them after careful review of market condition and approval from the board. I will close by saying that 2014 will be transitional year for SQM. As I mentioned in the press release, we are well positioned to move quickly to meet any changes in market demand and market dynamics in all of the main business in which we serve. Rest assured we will act on what we believe to be in the best interest for the long term of the company and remain focus on maximizing margins and shareholders' value. Any strategy and decision [ph] will reflect this goal. Thank you.
Gerardo Illanes: Thank you, Patricio. Operator, we may now go to the Q&A session.
Operator: [Operator Instructions] And our first question will come from Ben Isaacson of Scotiabank.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: I have several questions. The first one is on iodine. You stated that you are prepared to fight for long-term market share, but I think it's apparent that you've actually been giving up some market share by cutting back on your volumes. So can you just kind of discuss what your strategy is right now? I mean, why not cut the price and kind of ramp up your volume and kind of get back that market share and kind of clean up this industry a little bit.
Patricio G. Contesse: Well, I think, what I said is exactly what we're trying to do. Of course, we see this [indiscernible] you suggest that was to evaluate and we decided in the long term not to go [ph] back, as you said, more gradually. And that's what we're doing even though we can lose some further market share. But we think in the net present value [indiscernible] to the best estimates we have, that was the best initiative. As I said, we are looking our position not for short term, but also the long term, what is the best for the company. Also, we have to say that the policy regarding iodine that was in place as we told before and what is going on in the market, it doesn't make decision for -- for people to make decision so rapidly even if you don't -- even if you go very aggressive. To close a company or to may -- or to pull [ph] people diminishing those volumes or what they respond in the market elasticity, those are factors to be seen, not in 3, 4 month but in the longer period. And we are continually doing that job and we can change our -- if we see the best policy toward pursuit of what we have said. And as you suggest, maybe sometime we can see that is the better alternative of what we have evaluated until today. And we will not -- we would change, we are always and will be looking forward to the best interest in the long run to have the best present value for the -- and economical for the company and care about also [indiscernible]. So just as your suggestion has been steady and we have decided, but it doesn't mean tomorrow we don't want to proceed [ph] way.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: That's very helpful. My second question is on the metallic exploration. You've talked about how you're going to explore 1 million hectares over kind of the next 5 years, and you expect about $150 million to be invested. Can you just give us a sense as to how meaningful is 1 million hectares? I mean, how much land do you guys actually control right now? And is that $150 million going to be -- is that all SQM money or is that what you expect kind of your partners to pay for, can you just kind of give some clarification?
Patricio G. Contesse: Well, SQM has over 2 million hectares of mining rights. Clearly, there's a potential possibility of developing some metallic mining industry, thinking [ph] on that. So we have done, for several years, more aggressive lately some [indiscernible] and Antucoya that was a good thing that happened last year. Really, the result of our working very hard during the '90s. But at the end, we were able to make high-economic value for the company last year. So what I'm saying is that this is a long-term business. So it was done in the '90s, was making real money in 10 years afterward or even more than that. But clearly it's a challenge [ph]. We have made some contracts as we made in our press release, 2 more contracts with third party to explore. We'll take some money on that. And when we said the $150 million is related with the compromise of the third parties to make these explorations [indiscernible]. Appear [ph] there are different types of contracts, one that we participate at the end -- we could participate as an option [indiscernible] have as a partner or just royalties, so that every contract is quite individually and characterized related to what is the counterpart. But clearly, that is, I think, one of the largest exploration program in Chile and we have the potential, we could run in the area of more interest [ph] in mining resources in Chile and part of the world. So -- but in mining and field, you don't find it, you don't have it. Exploration is a major part and key of investing in the $150 million that we hope to increase with third party, not with our money. Having, in that sense, relatively low risk, the policy that we have agreed on this business. As we find Antucoya, and it was very good for us, we hope and we're working to find new Antucoyas.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: That's great. And just very quickly, my last question, maybe -- I mean, your stock has done incredibly well over the past couple of months. And maybe I'd just like to kind of find out what your view on that is. I mean, you've obviously had a bit of a difficult quarter and fundamentals are challenging in some of the businesses right now. What do you think has really driven your stock up over the past several weeks?
Patricio G. Contesse: I was just to make -- it's difficult to be as the person in the mind of investors, what are they seeing. All that I can say here, in this conference call what we are seeing and then people made their conclusion to make [indiscernible] on SQM. But what exactly are in the mind of -- the decision made in the minds of investors, for me, hard to tell. What I can say here what is our view and after that people made the decision to buy or sell whatever. [indiscernible] make what is exactly what is in the minds of people buying our shares.
Operator: And our next question comes from Juan Tavarez of Citigroup.
Juan G. Tavarez - Citigroup Inc, Research Division: My first question, just to touch on iodine again. Could you remind us what is your current market share in iodine? And I guess, your comments of sort of noting that you could see the iodine market grow but your volumes will likely decline. Could you give us a sense of kind of what's your threshold of minimum market share within the market?
Patricio G. Contesse: The minimum is, of course, we would like to be at least 30%. That doesn't mean that the year could be lower than that. But as a minimum and the minimum round [ph], SQM should be at least 30%. But that may be a year we could be lower than that, depending on situations that could happen at any moment. But it is a policy of the company, we want to be in the range of 30% or 1/3 of the market share.
Juan G. Tavarez - Citigroup Inc, Research Division: And where are you today?
Patricio G. Contesse: Well, last year, we were slightly in the range -- nearly 30% or slightly below there.
Juan G. Tavarez - Citigroup Inc, Research Division: Okay. And for lithium, if we can touch on that. I know you noted that you expect the market to grow 8% to 10%. Could you give us a sense of how you expect your own volumes to trend? Do you think you'll trend in line with the overall market view or slower or faster? Could you give us a sense?
Patricio G. Contesse: Well, we have to consider not only the demand but also the supply side. Clearly, lithium at least projects, one of them already working, and two -- and also, we see the situation of Australia by [indiscernible] getting into [indiscernible]. So things are to be seen how much supply will be in the market on one hand. And on the other hand, demand. And in that sense, where SQM should be. This year anyhow, we see a market better than last year and volume of what we have forecast we're seeing for this year, in our case we're relatively higher than last year. But also, we see other volumes coming on stream, not only ours, but of third parties, too. So we cannot, let's say, be the only one getting the growth of the market.
Juan G. Tavarez - Citigroup Inc, Research Division: Got it. Understood. And just my last question, could -- I know you mentioned some of your cost initiatives that should start to materialize, or you should you start reaping some of those benefits this year. Could you help quantify that for us in terms of either monetary value or basis point move in your gross margin?
Patricio G. Contesse: Well, we -- as we told in the last conference call, that we have make effort and study [ph] to [indiscernible] the company related to cost. And as I said last conference call, that we expect $50 million reduction for this year and that we are -- we have not stopped there. We are continuing effort to go even beyond. How much will be reflected this year and to see that cost go to inventories and that will go to an average price so we will not be able to see fully those $50 million [ph] in 2014, so some of that in 2014, completely in 2015. But I must say that we continue with the effort and we see that we have a lot to do in terms of reducing continually our cost and we are very optimistic on that.
Operator: And the next question will come from Giovana Araujo of Itaú BBA.
Giovana Araujo - Itaú Corretora de Valores S.A., Research Division: First, I'd like to hear your views about the implication of this Tesla lithium battery sector on the global lithium demand. In your view, is there any reason to be more positive about long-term growth of lithium carbonate demand on the back of that? Or this is a type of project needed to support a long-term growth range between 8%, 10%?
Patricio G. Contesse: Well, we have seen lithium grow, in general, but maybe a year or not but over 2 digits. Maybe in 2009, was not the case and 2008. But general market has grow over 2 digits. And we view that the market should continue in the range of, let's say, today, I'm not talking 20% of some [indiscernible] in the range of 10%, 11%, that is our main -- could happen the other way or the other, but that is our best view. So in that sense, we are optimistic in what's going on in the market.
Giovana Araujo - Itaú Corretora de Valores S.A., Research Division: Okay. And my second question is about the iodine market. You mentioned in the release that iodine sales volume could decrease in 2014. And you also mentioned pressures on pricing in recent months. So my question is, is there a risk of a decline in volumes and prices in the same extent we saw in 2013, 15% in volumes, 6% in price?
Patricio G. Contesse: Well, this risk's always part of the game, but I might say that the iodine, we are optimistic in the long run. We, I think, in some way, when we say that 2013 is a transition time for SQM. Well, part of the constant behind that is what's going on in the iodine business because it's very relevant to the company. So -- and we had transition also. We have to do that for the iodine business. So our forecast for the iodine is optimistic in terms of growth in the market. I think in Australia [ph] we have implemented [ph] what's going on in the market. We will see a significant -- we would see some changes and a positive trend, maybe not in pricing but in volumes for next year anyhow. We are confident on that. And that we will reach the policy to be in 30%, 33% in the near future, let's say, at least next year. So we are working for that and we will make policy and then to take those volume back again. We're getting very near those volume back again next year.
Operator: And next we have a question from Alexandre Falcao of HSBC.
Alexandre Pfrimer Falcao - HSBC, Research Division: Just wanted to, again, to follow-up on lithium. What's the maximum amount that you can extract with, as per the current agreement with the government? And given that we're probably going to see with the factory from Tesla and orders coming from China, if that's the case of an increase in the type of production, what's the strategy here? More concessions in Chile or an M&A in Argentina or other countries?
Patricio G. Contesse: Our main focus is Chile. Salar De Atacama is the best place to produce lithium at the lower cost. We have been trying until now without success to negotiate with [indiscernible] for a new condition. We hope that this effort will be accomplished to be in a better position in our lithium leadership in the lithium business. If we can do that, we can -- we're steady and we look for all the possibility in different places, but our focus, our more important focus are related to what can be done and renegotiate in Chile.
Alexandre Pfrimer Falcao - HSBC, Research Division: Okay. What's the maximum amount that you can take out right now with the current agreement? Can you give some color on that?
Patricio G. Contesse: We have state in the contract about 50% of what the contract permit us.
Operator: And the next question is from Tim Tiberio from Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: With a lot of your growth CapEx behind you and some of your comments around additional lithium supply suggests that maybe you're a little bit concerned about some of the greenfield projects that have been percolating in the background. Is there any hurdle or issue with your policy that would prevent you from actually doing some outbound acquisitions? A lot of these smaller companies are not very expensive, but if they are getting closer to production, have you considered that as maybe a strategic defense in the market in the near term?
Patricio G. Contesse: We study all of them and we have seen all the chances and opportunities that can come to us. And some of them have been more theoretical chances, other more real. And we have not agreed in economic terms that permit us to make those M&A, as you suggested. But clearly, as a company, in many of our core business, we are ready to act and we have the financial capacity to act if we see an opportunity. And always we are looking for all those opportunities, sometimes proactive, sometimes not. But clearly, as part of our view. To me also, on the other hand, to find natural resources for iodine and out of Chile is very difficult. And the potassium, well, today the market is complex to do any step on that beyond what we are already doing in all our resources. But we have study and we'll be monitoring anyhow if there's an opportunity. In lithium, that's a true reality, too. As I said before, we are seeing things that could be potentially of some possibility for us outside Chile, but our main focus is to see what we can done with our contract in Chile, where we can be successful or not, of course.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Just staying on lithium for a moment. I guess, your strategy, historically, has to remain upstream in the lithium carbonate production arena. But obviously, with some of the recent industry news, would you ever consider trying to expand your reach further downstream in the value chain? And looking at maybe the 5-year outlook or is the strategic vision still to stay further upstream in lithium going forward?
Patricio G. Contesse: Even though [ph] the more attractive area for downstream is better [indiscernible] very complex market. And we see that SQM [indiscernible] prepared to do that step. If we do that, we have to do it maybe in banks abroad. But clearly, on the other hand you cannot [indiscernible] sell to customer compete with that. So we also have to take that into account.
Operator: And next we have a follow-up question from Juan Tavarez of Citigroup.
Juan G. Tavarez - Citigroup Inc, Research Division: Just following up on iodine. You released the market update in December and you kind of highlighted that the first quarter you were seeing price pressures between 5% to 15%. I'm wondering now that we're into the third month of the quarter, if you have any sense of where you're kind of trending towards on the higher end of that guidance or the lower end? And also if you can give us kind of an update on how the potash market is short term and your perception here of potential and bottoming in pricing.
Patricio G. Contesse: Okay. [indiscernible] we went to the lower part of the range we gave to you. There are more or less where we are, more or less because there are particularities, some [indiscernible] some more characteristic. But in general speaking, we're in the lower range of what we said before. On the other hand, we have -- we are in the potash business today related to what we thought in January as slightly better, that including [ph] objective, I can say, that will continue in the year and all assumption to be seen. Our best guess there is that there are more important factor here in the laws of demand. And we see, let's say, a market that is growing more in demand. We all know that the capacity of potassium in the world, there's an overcapacity. So the main factor here to have an assumption for the future or during the year is how demand is going on, 3 months or 2 months to -- short period of time, to see that the higher demand that we have been seeing in the last 2 months will continue or not during the whole year. You will see that demand, as it is today, we think that we at least should have the prices we have today and there's a high possibility of them to further increase of what's has happened already in the first 2 months. But demand [indiscernible] here, in our view, and that is something to be seen during the year. Until now we are relatively optimistic, but 2 months is not enough time to be completely optimistic.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Gerardo Illanes for any closing remarks.
Gerardo Illanes: Thank you all very much for joining us today and we hope to have you with us in the next conference call. Goodbye, everyone.